Operator: Welcome everyone. Great to be talking to you today. I am Tom Greenwood, the CEO and with me I have Manjit Dhillon, our CFO and Chris Baker-Sams, Head of Strategic Finance and Investor Relations. On Page 3 you see agenda and this morning's call is really a run through of our Q1 release which came out a little earlier this morning. We'll talk you through some highlights, will talk you through some financials and then of course there will good time for Q&A at the end. But also today we have our Capital Markets Day which is happening later kicking off at 1:00 PM London time this afternoon and I know a lot of you are either attending in person or planning to login virtually. If you still want to register you're able to click on the link here on the page and register. So look forward to talking to you all later.  In that we'll be launching our new five-year sustainable business strategy as well as the people that you have a [indiscernible] will also be some of the wider executive team for you to meet, some of whom will also be presenting. So really look forward to that later. So moving on to the Q1 highlights and I am on Page 5 of the presentation. So Q1 was a really solid quarter. We've delivered 23% in revenue growth year-on-year, 20% EBITDA growth, EBITDA margin in line at 52% which of course has been slightly diluted with all the new assets that we both are mature now ready to lease up and start driving those margins and returns. And cash flow as well up 34% year-on-year. Of course, a huge amount of all of this was driven by our tenancy increases. We added over 1500 year-over-year and also closed on our eighth market in Malawi in the quarter. All of this driving site count up 43% year-over-year and tenancy growth at 29% and both of those around 9% among organic basis.  So really seeing strong tenancy rollout coming through. And in fact our Q1 tenancy rollout on an organic basis was 359, so one of our strongest ever and typically quite a quiet quarter for our business due to rollout cycles with our customers. Of course late last year we told you about this and we mentioned that we were pre-ordering some CAPEX so that we could continue with the momentum in Q1 without any delays to rollout due to supply chain issues and of course we are very pleased that we did that because it has enabled us to deliver on a strong quarter.  Other news we are still continuing our processes of closing our Oman and Gabon so those are moving in the right direction and aiming to close those in Q2 and H2 respectively. And finally our guidance is reiterated for the year which is centered around the organic tenancy additions being 1200 to 1700 it was around 8% at the midpoint. And finally a reminder that all of our revenues and earnings are very well protected against inflation and power price movements through the contractual escalators in all of our contracts. So, in a sort of global environment where we're staying, quite a lot of increases or volatility and those sorts of measures our business is very well protected against those through our contracts. So feeling very good about a robust earnings stream going into the latter half of the year and of course into the future years.  Moving on now to Slide 6 and here we just see some of the main KPIs and chart form. As you can see tenancy showing good growth as we move into Q1. We've added about 1500 since the end of last year with about 1100 coming from the Malawi acquisition and 359 organic in our other markets and so making good progress there. EBITDA as you can see stepped up very significantly. If you look at the quarter one annualized of 274 million that is already a 14% increase on our FY 2021 EBITDA which was 241 million, you see there in the middle. So of course what this means is if we did nothing for the rest of the year and did not sell another single tenancy then our EBITDA would continue on this level. Of course we are going to be selling more tenancies and driving more efficiencies so we are feeling good about a good base that we've got in Q1 at 274 ready to drive that further upward as we move through the year. And finally here you can see that the cash flow metric also has stepped up as would be expected principally driven through the EBITDA increase.  Moving on to Slide 7, and again here our sustainable business strategy is very much in full swing and in fact as I mentioned earlier, later today at our Capital Markets Day we will be launching our new five-year sustainable business strategy which is centered around our purpose of driving the growth of mobile communication across Africa and Middle East. And of course, our mission, which is to deliver exceptional customer service through our business excellence platform and create sustainable value for our people, environment, customers, communities, and investors. So look, later on today, I, Manjit, and some of the other executive members will be taking everyone through a presentation, it was really looked into what we're going to be doing for the next five years, where we're focused on and, of course, all elements of our business from business excellence, to Lean Six Sigma, to our customer service excellence, Mantra, and of course, our sustainability angles of which we cover all of it. First and foremost, our targets are to drive returns and margin and value over the coming years through our business, through leasing up the new enlarged platform that we have. And we're very confident of doing that. So look forward to speaking to everyone later on this.  Next up a quick round up on Page 8 of our acquisition activity. And of course, we closed Senegal and Madagascar last year, we've just closed Malawi at the end of Q1 there, that's got off to a very smooth start, we're seeing some good operational performance coming through as well as good interest for new rollout in that market. So that's very exciting for us. And then Oman, as I mentioned and Gabon we're now in the -- working on the final processes around closing both deals. So Oman in Q2, and Gabon H2, as we previously communicated. So look forward to bringing those into the fold as well as we move through this year. And we'll have therefore completed our big expansion from 5 to 10, market, 7000 to 14,000 towers, and ready to really go off that in large base with significant embedded lease up and growth going forward. I'll now hand over to Manjit to take us through the financial section. Over to you Manjit.
Manjit Dhillon: Thanks, Tom. Hello, everyone. It's great to be speaking with you all today. I'll be going through the financial results and starting on Slide 10. Continuing on from what Tom mentioned earlier, we've had a very strong quarter of organic growth driven by organic rollouts, and complemented by our new markets, Madagascar, Senegal, and Malawi, all of which have really hit the ground running. And on this slide, you'll see we've summarized the main KPIs which I will be talking through in more detail over the next few slides. But in general, we're seeing good growth across a number of these key metrics.  So jumping into the details, and moving on to Slide number 11 and we see really robust organic and inorganic tenancy growth in Q1. From a site perspective, we saw a 43% increase year-on-year, primarily due to 2420 sites that were acquired across our new market, but which were also supplemented by strong organic growth of 733 sites. Year-on-year we have added 4501 tenancies, which is a 29% increase from where we were in Q1 2021, 1545 tenancy additions were driven through organic rollout, and 2956 day one tenancies in our new market Senegal, Madagascar, Malawi. Tenancy ratio in our established markets remained constant at 2.14 and on a group basis, tenancy ratio has dropped slightly by 0.22 to 1.92. And that's really due to the integration of new markets, which have a combined day one tenancy ratio of 1.2. We will see the overall group tenancy ratio dilute as we continue to integrate our acquired portfolios, which come with generally lower tenancy ratios on day one down the group average. However, as I reiterated previously, this is a great opportunity with growing our asset base and the number of sites, which we can develop, adding further co locations over the coming years. And we'll see our tenancy ratio and other metrics compound over the coming years as well.  But all in all, very pleased with site and tenancy momentum in Q1 and as Tom mentioned, we managed our supply chain effectively with forward purchasing of CAPEX at the back end of last year, which has meant that we can roll out tenancies efficiently at the start of the year, which you can really see coming through here now. We've got a good pipeline of opportunities ahead, we are exactly where we want to be and are laser focused on delivering more [indiscernible] during the rest of the year.  On to Slide number 12 and looking at our revenues and adjusted EBITDA. We've seen growth in both revenue and EBITDA of 10% year-on-year on an organic basis and up 23% and 20% respectively when also incorporating the new markets. EBITDA margin is reduced by two percentage points in line with guidance we gave over a month ago and that again is really driven by the impact of lower margin acquisitions, which have diluted the group margin on day one and also due to an investment that we made in our SG&A to ensure that the business is well set up for doubling of size and scale. But again, pleased with these results. We have a well invested platform delivering strong organic and inorganic tenancy growth, which we see and we'll continue to see coming through our revenues and EBITDA in the quarters and years to come.  Now if you move to Slide 13, you'll see the usual breakdowns provided which are broadly consistent from previously -- from previous quarterly updates. We have strong currency hedge business which is underpinned by long-term contracts with blue chip mobile network operators. 99% of our revenue come from international MNOs, comprising mainly Airtel, MTN, Orange, Tigo and Voda and free Senegal to purchase the Senegalese portfolio from. We have strong long term contracts with our customers and as of Q1 2022 we have long-term contracted revenues of $4.2 billion, with an average remaining life of 7.4 years, which increases to $5.3 billion pro forma for Oman and Gabon which are due to close during the course of this year. And this means excluding new wins and rollout, we already have that revenue contracted and in the bag, providing a strong underlying earnings stream to the business. We also have 64% of our revenues in hard currency being either U.S. dollar or Euro. And as a reminder, this will increase to 68% pro forma for the announced acquisition, which translates to 72% when looking at it from an EBITDA perspective being in hard currency. This provides a strong natural FX hedge for the business, which is further complemented by our annual inflation escalators, which we have in all of our contracts with our customers. Moving on to Slide 14, and we look at CAPEX, in year-to-date we've deployed $73 million, but the majority of that relates -- majority of that 40 million relates to acquisition CAPEX, principally the Malawi acquisition. Our CAPEX guidance though remained unchanged at 160 million to 200 million excluding any CAPEX was spent on new acquisitions. And we've incurred 33 million against that. We've also guided to 650 million for the full year for new acquisitions and we've incurred 40 million of that, again, principally related to Malawi. And as such, we have 610 million to deploy and acquisitions are related to Oman and Gabon. We have forward purchase of 30 million of CAPEX in Q4 for organic rollouts of tenancies in Q1. Again, managing supply chain effectively has meant that we've hit the ground running this year. We continue to actively monitor and manage our supply chain so that we can efficiently roll out for our customers, something which we always look out and continue to do going forward.  Moving on to Slide 15, and here we show a summary of our financial debt. And as of Q1, our net leverage is 3.7x and continues to be within our range of 3.5 to 4.5. We have strong liquidity with $830 million in available funds made up of 483 million of cash on balance sheet, and 345 million of unutilized debt facilities across the group. We are fully funded for our near-term organic and inorganic expansion plans with long tenure debt, we are in a great position where there is no immediate need to raise any additional capital. However, as always, we remain agile and ready should strategic opportunities arise. I've got to say we sit here with a very strong balance sheet.  Finally, on Slide 16, we're tracking in line with our FY 2022 guidance. We've had 359 organic tenancy growth in the quarter and as Tom mentioned, we typically see Q1 and Q2 as being our slower period for rollout given the budget cycles of MNOs but we're tracking well against the budget guidance we've given. Lease rate per tenancy was reported as 2%. We're looking at the seven markets, excluding Malawi our estimate is to come over the course of Q1 during January, February and March. If we take our March position, our lease rate per tenant is actually in line with guidance. And finally adjusted EBITDA margin is in the middle of guidance at 52%. So all in all progressing well against our targets and remains very focused on continued delivery for the year ahead. And with that, I'll pass back to Tom.
Tom Greenwood: Thanks very much Manjit. So I'm on Slide 17, for a quick wrap up. But just to remind you, we've had a seasonally strong tenancy additions in Q1 with 359 tenancies come through, and of course, strong financial performance in line with expectations, revenue 23%, EBITDA 20%. On an overall basis, we've closed our Malawi deal, which means we're now in eight markets, and over 10,000 towers, and we're progressing well on the final two Oman and Gabon. We've reiterated our 2022 guidance. And of course later on today we'll be launching a refreshed five-year sustainable business strategy and look forward to seeing as many of you there as possible. So with that, I'll hand back to Ruby, who can coordinate the Q&A?
Operator: Thank you. [Operator Instructions]. Our first question is from John Karidis of Numis. Your line is now open. Please go ahead.
John Karidis: Hi, there. Good morning. Congratulations to you and the team for a strong start for this year. Can you talk about how the second quarter looks so far, please?
Tom Greenwood: Yeah, absolutely. Hey, John. Yeah, like second quarter is again, tracking to plan. We have a, I would say a strong pipeline of orders in hand. The orders are coming through shortly. Which puts us in a fairly confident position I would say not just for the second quarter, but for the full year. So yeah, all in all, happy with progress so far year-to-date.
John Karidis: Do you think tenancy growth in the quarter might be comparable to what you've seen in the first quarter, and maybe you can describe this a little bit for us, please, Tom?
Tom Greenwood: Yeah, look, I won't give an exact number because tenancies can come in and fits and bursts. Finally, I think we're just reiterating our previous guidance of the 25 and 75 mix for the year. And, when we report our H1 in August, if there is an update to give at that point for the full year we will certainly give you one then. But, yeah, no luck. So far, so good, tracking well, good orders in hand. And, we're happy with progress so far.
John Karidis: Fair enough, thank you. I had to try. Thanks. 
Operator: Our next question is from Jerry Dellis of Jeffries. Your line is now open. Please go ahead.
Jerry Dellis: Yes, good morning. Thank you for taking my questions. Maybe a follow up to John's question. Obviously, the 359 organic tenancy that you've reported in Q1 seem to put you in a very strong position to overachieve against the sort of the expectation that you've set yourself for the first half [Technical Difficulty] tenancy has come in fits and starts is there -- sort of the built to suit program that might make you sort of incrementally more cautious on momentum in Q2 or should we [Technical Difficulty] Q2 is looking pretty strong and you're essentially holding off just in case, some makes a slightly unexpected decision? And my second question has to do with cash conversion, which was to be strong 72% conversion, I think from EBITDA into portfolio in addition where obviously, a number of assets have only just sort of come on board. So how do we think about the sort of the historical sort of gaps of 65% to 70% cash conversion going forwards, please? Thank you.
Manjit Dhillon: Yeah, I will take those. I think with regard to tenancies, I'd probably go for the latter part of what you mentioned there. So we are progressing well, as you rightly say, the majority of our tenancies for the course of this year are built to suit so there can be a little bit of slippage, sometimes quarter-on-quarter, as is expected sometimes. But in general, I think is just to reiterate what Tom has said, we're keeping our guidance exactly where it is right now, we're in a good position. And as we get to August and announce the results, we'll have to reanalyze both guidance at that time. But as it stands right now, I think we're sitting here in a very good and healthy position in terms of our pipeline.  With regard to portfolio free cash flow, yes, I think we have had good conversion at 72%. There are a few items there which are also related principally to timing. So I think we will see a bit of a ramp up in terms of maintenance in corporate CAPEX coming through which may slightly reduce a bit of that and we've had, I'd say a little bit of lighter tax payments during the first quarter. Now whilst we look at portfolio free cash flow on a last 12 months perspective, there will be a little bit of a rise up and back in Q2. But in general, I'd say our portfolio free cash flow will be around the 70% mark is where it is expected to be during the second half.
Jerry Dellis: Thank you very much.
Operator: Our next question is from Alex Rhonda [ph] of Bank of America. Your line is now open. Please go ahead.
Unidentified Analyst : Hi guys, thank you for taking the question. I was just wanting to come back to some of the more country specific performance. And we've seen South America, Africa, being quite strong. And so I'm just wondering if you had some comments regarding the evolution of the market there given some M&A in the country? But then equally more broadly, I mean, you've had a really good start in Senegal following your acquisition, could we expect some kind of a similar head start in Oman, Gabon, or even Malawi as you acquire the portfolio and already grow your cost base to address those market? And then, perhaps it is a question for the CME and in this case, asked that later today, but given the strong performance in Q1, on the back of the CAPEX from coding you've done last year, do you expect or do you think it will be adequate to do something perhaps similar for this year? Thank you.
Tom Greenwood: Yeah. Thanks, Alex, thanks for the questions. So I guess, taking the first one, like I saw as you, as you point out, we've had a strong quarter there regarding a fairly significant product market, number of sites, and tenancies. Again, this is -- I think going back to the point that tenancy do come in fits and bursts. This is a lumpy business and therefore, there can just be quarters, which see a peak. Equally, there can be a quiet port and it's nothing really to get either too excited or too worried about, it's really just for us how we think about it, as we think about where's things going in the medium term. What was the three to five-year trajectory, and are we roughly on track for that. And of course, within that time period, there's going to be some quarters, which do have a peak and others which are quite, that's just the nature of a kind of heavy infrastructure business, and a reasonably long sales cycle, which our business has.  But we're very pleased to see South Africa stepping up and the team there have done a great job in doing that. Equally Senegal, new market as of almost a year ago naturally. And, we are very pleased to go into that market as the only independent telco, we've been seeing some good rollout there, there's certainly more to come in that market, as we move through this year, we've got some good builds of suits and colos coming through. And again, I think it just goes to the point that, the markets that we choose to enter have the sorts of dynamics fundamentally, relatively low levels of mobile penetration, big infrastructure gaps, and kind of pent up demand, if you like from mobile operators particularly when there was never previously an independent tower company there. The mobile operators were having to choose to spend their own CAPEX to build the passive infrastructure and with us going in suddenly, they've got this route of doing it without them spending the passive infrastructure. So they can focus on their front end technology and I think we're seeing that in Senegal. And yeah, look, the other markets, Oman, Gabon, Malawi, again, is similar dynamics will be the first or at least the first independent -- scale in all of those three markets. We're already having good conversations about roll out in them.  So yeah, look, I think we'll stick with our guidance that we previously gave for these deals around tenancy rollout which was or tenancy ratio increase, which was 0.5x to 0.1x per year roughly. And we hope that we very much deliver on that. Certainly the dynamics of all the markets should mean that we can over the next few years. And yeah look, finally on the addition of CAPEX for last year look, obviously very happy that we did take that decision and bought in CAPEX early that really helped us to drive momentum through Q1. Again, we'll keep monitoring it. I think in the CAPEX guidance we've given this year, that does allow us for some sort of buffer, if you like, for rolling into Q1 next year, if we have a lot of orders, again, sort of the end of this year. But we'll monitor that as we go. The one dynamic at the moment, well as you know, I think every company around the world is experiencing it. Lead times for ordering has certainly gone up in the last two years since before COVID. So something that used to take three months to come to market now, it maybe takes six months. So the CAPEX planning cycle has extended and we've adapted to that. That's one of the reasons we did the early order last year, but we'll just stay nimble and see how it goes.
Unidentified Analyst : Okay, very clear. Thank you.
Operator: Our next question is from Jonathan Kennedy-Good of J.P. Morgan. Your line is now open. Please go ahead.
Jonathan Kennedy-Good: Good morning, Tom and Manjit. Thanks for the opportunity to ask questions. I noticed a slide in your deck number 21, which talks about POS growth over the next four or five years. Presumably, that's an independent study I think, but what did catch my eye there was the forecast on DRC for 12% CAGR growth there. Just wanted to get your sense of what would be the risk do you think to that number, it seemed to surprise me on the upside and given you are in that market, as the only independent telco it would be interesting to get your take, South Africa seemed pretty low, just wondering whether you believe you can take more market share in South Africa, we still got four operators in ASA, your colo is immediately quite high, it would appear to me that that ROIC would be potentially higher, or amongst the top in the portfolio in South Africa, so just wondering how you plan to accelerate even further in South Africa if that's the case? Thanks.
Tom Greenwood: Yeah. Hey, Jonathan, good to talk to you this morning. So yeah, look, first of all, these are independent numbers. So and these numbers are a market research, this is one of the inputs that we use internally, to do our own planning, to do our own assessments of where we want to invest and deploy capital and do our own forecasts and budgeting, etc. So yeah, these are independent numbers. The DRC, when you pull out, yeah, look I mean, DRC is a fundamentally very attractive market in our view, from a mobile standpoint. And therefore mobile telecoms infrastructure standpoint, it's coming from one of the lowest bases in terms of mobile penetration across the continent. So mobile penetration on the unique subscriber bases in DRC is somewhere in the 30% range, which therefore means that there is just significant runway and growth ahead for many years. So that in part drives the high CAGR growth. And in DRC, we are seeing a lot of rollout from our mobile operator customers there. The four large mobile operators operating there and there's about 50 million people in DRC, that today do not live in an area of mobile cell coverage. So about half the population don't even have mobile coverage where they live, which is actually way behind all of our other markets. So that's the reason for the high growth there. And now Manjit why don’t you take the next one.
Manjit Dhillon: Yeah. And I think just for South Africa, if we look at how that progression has gone, historically, it's always been actually from independent forecasts at least, relatively low single digits for points of service growth. I think it's been partially impacted by the fact that I think [indiscernible] kind of slightly rolling off a bit as well. So that's impacting a bit in terms of where it's expected to go. But notwithstanding that, I think it's still got -- it's coming from a higher base so it was a lower percentage. So a vast number of potential requirements for points of service. And I think we've got, as we've demonstrated over the last few quarters, we've been rolling out very, very well, and importantly leasing up very, very quickly. We've got a 1.7 tenancy ratio, which we've had for a number of quarters now, which shows that not only are we building around the building, we're building in the right places and getting leased out very quickly.
Jonathan Kennedy-Good: Thank you and just perhaps one follow-up on South Africa. The average talent cost in South Africa is it's still fairly materially cheaper than from a CAPEX perspective, than rest of Africa? 
Manjit Dhillon: I think it is broadly around the lower end of the range, so it kind of typically is around 100,000 maybe a little bit north of that. But in the grand scheme of things, it's still within the range of what we normally say anywhere between for a normal tower across the group 100,000 to 150,000. And probably towards that lower price point. 
Jonathan Kennedy-Good: Alright, thank you.
Operator: We do have a further telephone question. [Operator Instructions]. Our next question is from Josephine Duran [ph] of Morgan Stanley. Your line is now open. Please go ahead.
Unidentified Analyst : Hi, thanks for the presentation. I do have two questions. The first one is related to the EBITDA margin. I know this was very well flagged and you explained that it is related to expenses from the acquisitions that you are doing. But if you could give me a little bit more color on this higher SG&A that you're seeing and do you expect this to be like one off or recurring? And my second question is, if you can remind me your cash policy. I mean, if you usually try to repatriate cash offshore, if you have any issues sourcing dollars or rebating [ph] cash from the countries in which you operate or do you usually have it at the operating level to find like investment expenses that you have locally?
Tom Greenwood: Thank you for those questions. So just picking up on the SG&A part. So this is kind of structured SG&A that we've invested because we are expanding in size and scale. So it's in the region around 13 million from where we were a couple of years ago, probably doing these five market deals. But importantly, that SG&A is leverageable. And I'll be coming on to this in during the course of the Capital Markets Day presentation as well. But actually, once this has all been -- once you've closed all the deals, the SG&A as a percentage, or as a per site percentage is actually in the same region of where we were back in 2019, when we were broadly a private company. So we are -- when we do invest we invest but then is subsequently leveraged by the group. And as we lease up the sites as well, you'll see further leveraging of our SG&A base going forward.  What have we invested in? Well, we've invested in a regionalized structure so we can actually have a capacity to hit the ground running on day one in the new market. But it also gives us the opportunity to also look at potential new markets as well. And we've also increased some increase in professional fees, and just general infrastructure like IT infrastructure across the group as well. So all of those have been invested. But as I say, it will be leveraged by the end of the year. In terms of cash policies, so typically our cash policies remain very identical. Well, for the last five to 10 years, actually. So we typically keep about anywhere between 80% to 90% of our cash offshore, sorry, onshore sites kept up in London, Mauritius, it is where we keep the majority of our cash. We keep a very small float in the market and that's typically sufficient enough for its working capital and CAPEX requirements. And we do monthly upstreaming of U.S. dollars from each of our markets to the UK and Mauritius. And that's happened every single month since I've been at the company before. So no issues on that perspective.  From a debt perspective, we typically keep our net leverage around 3.5 to 4.5, as I mentioned earlier, and we're currently sitting at about 3.7. So towards the bottom end of that range, but with capacity for the new acquisitions, which are due to close as well.
Unidentified Analyst : Thanks a lot. That was very clear. Thank you.
Operator: We have no further questions. So I'll hand back to our hosts for closing remarks.
Tom Greenwood: Well, thank you very much, everyone for the call today and the questions coming in. And likely hope to see as many of you possible later on, either physically or indeed online. So yeah, I look forward to talking later at the Capital Markets Day and talking you through our new five-year sustainable business strategy. Take care, thank you.